Operator: Good day, ladies and gentlemen. Welcome to the Q4 2010 Marvell Technology Group Limited earnings conference call. I will be your coordinator for today. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. As a reminder, this conference is being recorded for replay purposes. (Operator instructions) I would now like to turn the presentation over to our host, Mr. Jeff Palmer, Vice President of Investor Relations. Please proceed, sir.
Jeff Palmer: Thank you, Dana. And good afternoon, everyone. Welcome to the Marvell Technology Group’s fiscal fourth quarter 2010 earnings call. I’m Jeff Palmer; Marvell’s Vice President of Investor Relations, and with me on the call today is Dr. Sehat Sutardja, Marvell’s Chairman, President and CEO; and Clyde Hosein, Marvell’s CFO and Interim COO. All of us will be available during the Q&A portion of the call today. If you have not obtained a copy of our current press release, it can be found in our company website under the Investor Relations section at www.marvell.com. Additionally, this call is being recorded and will be available for replay from our corporate website. Please be reminded that this call will include forward-looking statements that involve risks and uncertainties that could cause Marvell’s results to differ materially from management’s current expectations. The risks and uncertainties include our expectations about sales of new and existing products and general market trends. Statements regarding our financial projections for the first fiscal quarter of 2011, our expectations about long-term growth, as well as expectations regarding the current economic environment and impacts to industry demand. To fully understand the risks and uncertainties that may cause results to differ from our outlook, please refer to Marvell’s latest quarterly report on Form 10-Q and subsequent SEC filings for a detailed description of our business and associated risks. Please be reminded that Marvell undertakes no obligation to revise or update publicly any forward-looking statement. During our call today, we will make reference to certain non-GAAP financial measures, which exclude stock-based compensation expense as well as charges related to acquisitions, restructuring, gains and other charges that are driven primarily by discrete events that management does not consider to be directly related to Marvell’s core operating performance. Pursuant to Regulation G, Marvell has provided reconciliations of the non-GAAP financial measures to the most directly comparable GAAP measures in our fourth fiscal quarter and fiscal year-end 2010 earnings press release, which has been furnished to the SEC on Form 8-K and is available on Marvell’s website in the Investor Relations section at www.marvell.com. Now I would like to turn the call over to Sehat.
Sehat Sutardja: Thanks, Jeff. And good afternoon, everyone. Today we reported fiscal fourth quarter of 2010 revenues of approximately $843 million, reflecting a 5% sequential increase and a 64% increase over the same period a year ago. For fiscal 2010, our revenue was $2.81 billion, down approximately 5% versus fiscal 2009. This is impressive performance given the 30% decline in revenue we experienced during the first half of fiscal 2010. Even on this lower revenue base, full year non-GAAP EPS increased 30% to $0.92 per share from the $0.76 per share in fiscal 2009. We accomplished this by improved operational efficiency and actively controlling expenses, which led to a 32% improvement in operating income and operating margin of about 30% for the last two quarters. Full year free cash flow was $756 million, up 26% versus the year-ago period, representing a 27% free cash flow margin. During the fiscal fourth quarter, we achieved several notable financial performance metrics. Our gross margin increased to approximately 60%, over 860 basis points of improvement from a year ago. Additionally, we achieved record operating margin and cash flow metrics during the quarter. Operating margin on a non-GAAP basis was nearly 32%, while free cash flow was over $250 million or 30% of revenue. These are both record levels for Marvell and a reflection of the hard work and physical discipline of our employees. I’m very proud of our employees for these accomplishments and want to thank them for their support. During the fourth quarter, the performance across our end markets was in line with our original guidance provided to you in December. The sale of new products during the quarter was approximately $100 million or about 12% of our total revenue. This was about a 30% important on a sequential basis, as demand accelerated for our new products during the quarter. Of particular note was the increased demand for new 3G cellular communication processors, with revenue more than doubling during the quarter. Additionally, we experienced a significant traction with our networking products. Our new product revenue more than doubled for both our enterprise switches and embedded CPU products. Looking out into our first quarter, we anticipate revenue from new products to represent approximately 15% of our total revenue. Please note, due to the long design cycles of many of our products, we believe defining new products introduced in the last 12 months is a better measure of new product traction. The previous information and comparisons reflect the new methodology for all periods noted. Beyond just revenue performance of new products, we have many parts of the new product announcement during the quarter. Within the mobile and wireless market, we announced several ARMADA-based reference platforms that co-develop with e-book market leaders, including Skiff, Plastic Logic, E Ink and AU Optronics. We believe the ARMADA family of embedded application processors positions us for a leadership position in the emerging and exciting field of next generation e-books. Many of these new platforms are close to being launched into mass production and should change consumer expectation for the functionality and performance of next generation e-book readers. Furthermore, over the last quarter, design win rate for all ARMADA products doubled to over 100 confirmed design wins. At CES in January, we unveiled our next generation wireless family called Avastar. The Avastar family is based on the 802.11 WiFi standard and includes single antenna and manual [ph] devices, as well as multi-radio combo devices. We are already seeing good traction with customers with the one-by-one as well as three-by-three devices contributing to our revenue growth. And we anticipate revenues from Avastar-based combo devices to come on line later this year. Within the networking market, we announced two significant new products. The first being the introduction of the ARMADA 300 family of embedded application processors. The initial device, the 55 nanometer ARMADA 310, such new performance standards for an ARM-based CPU, achieving two gigahertz performance. And under normal load, this device operates on average in less than one watt power consumption envelope. This device is targeted as both enterprise class control plane applications and next generation converged media platforms for the digital hub. Further expanding Marvell’s lead in this embedded CPU development, we also announced our first 40 nanometer quad core ARMADA device. This family is based on the same Marvell design on the seven-core using our ARMADA 500 and the 600 series devices. The second major networking product announcement we made during the quarter was our unveiling of AVANTA PON family. Several of the unique features of the AVANTA family, its ability to support both the EPON and GPON standard in a single device, thus enabling OEMs to build a single product and to leverage single software code stream for various geographic markets. The AVANTA devices are highly integrated SOCs based on our two gigahertz CPU, which also integrates our successful multi-port gigabit Ethernet switch, our five [ph] and a high throughput IP packet processing engine. The AVANTA line will include single core CPU devices for single family units and dual-core CPUs targeted at multi-dwelling units. We believe the AVANTA family is ideally suited to a large scale PON build-outs taking place in China, other parts of Asia, the US and other emerging markets. I would now like to review the recent performance achieved in our various addressable end markets. The sales of products into the mobile and wireless end market had contributed approximately 20% of our total revenue and was in line with our prior guidance, with sales down sequentially in the range of low-single digits on a percentage basis. During the quarter, we experienced growth from cellular customers, as new smartphone programs continue to ramp. Highlights include initial shipments of products to support the China Mobile OPhone launch that clearly Marvell is shipping silicon into nearly 90% of all OPhone models available for sale, including models from tier one handsets OEMs. And as best as we are able to determine initial market acceptance has been very positive. Additionally, new recent activity of OPhones is progressing very well. And Marvell should continue to benefit disproportionately, either in the second half of this year or early next year. Continuing the trend began in last quarter, our business with RIM continued to rebound strongly during the fourth quarter due to robust end market demand for the bold product line. Offsetting this trend was anticipated normal slowdown in seasonal ordering patterns in the wireless market, particularly in the gaming market. Overall, the fourth quarter was another positive step toward realizing reasons on our long-term investments in mobile and wireless market. Looking to first quarter, we expect balanced growth across the whole mobile and wireless product portfolio, which should result in revenue growth in the range of low-single digits. Beyond Q1, we anticipate new design wins, especially those in the cellular end market to continue to accelerate. We expect this design win to ramp later this year or early next year, but the precise timing is always difficult to predict. Moving on to the results within the networking end market, sales in Q4 increased by greater than 10% sequentially and represented approximately 20% of total sales. The results exceeded our prior estimates of growth in the upper single-digit range. We experienced strong growth within both Ethernet client and excess end markets as seasonal sales of PC, SOHO and excess networking products drove demand. As we progress into the first quarter, we believe Marvell’s specific share gains in the networking area will continue. However, after four solid quarters of growth, we anticipate our networking business to be down in the range of mid-single digits primarily due to normal seasonality in the client portion of our business. Lastly, the sale of products into the storage end markets grew approximately 5% on a sequential basis and contributed over half of our total revenue. This was both in line with our prior guidance and in line with the overall unit growth rate of the HDD industry. We experience strong demand across all brand types, particularly in the desktop and enterprise joint market, while our growth within the mobile brand market was in line with the overall industry. Looking forward to our first fiscal quarter, we anticipate the sale of products to our storage customers should track the unit growth of the overall HDD market in the range of plus or minus a few percentage points, higher than typical seasonal patterns. In summary, the results for our fourth quarter and fiscal year bring to a close one of the most challenging fiscal years for Marvell. I’m very pleased with the progress we have made over the last 12 months. During the last year, we have transformed our organization to improve the efficiency of product development. We have rewind our business model to deliver world-class financial performance, and we have laid groundwork to accelerate our growth in the coming years. We have gained significant traction in our mobile and wireless business, realizing share gains in both our networking and storage business. We believe within the next 12 months, we will be at an inflection point in our revenue growth. Our customers are delighted with our new solutions, and we have significant design wins completed and in process. We expect these design wins to increase our revenue growth over the next 18 months and perhaps even as soon as later this year. As a result, we feel confident increasing the investments needed to accelerate our growth. The areas you will see us make continued investments in include next generation process technology, the expansion of our software capabilities, expanding our product portfolio as well as field engineering support to ensure our customer success. We believe these investments are appropriate, given the strong financial base we have established, and will provide the strength to support our continued growth. While I’m proud of the progress we have made, we continue to be mindful of the challenging economic environment we operate this in. We are clearly aware of the effect of the macroeconomic events could potentially have on our business. Consequently, we are approaching the next fiscal year cautiously optimistic on the overall broader economy. We are mindful of the recent investor concerns about inventory build-up, but believe the challenge the industry faces is more than likely supply constraints. While we are not expert on these issues, we will approach the year cautiously both on trends on the broader economy as well as on those issues that could potentially limit our growth. We believe we are ideally positioned for upside should it happen. Our continued focus will be on the aspects of our business we can control and influence. Now I would like to turn the call over to Clyde to review our financial results for the fourth quarter and to provide our current outlook for the first quarter of fiscal 2011.
Clyde Hosein: Thank you, Sehat. Good afternoon, everyone. As Sehat mentioned, fiscal Q4 revenues came in at approximately $843 million, representing a 5% sequential increase over fiscal Q3 2010 and an increase of 64% from the same period a year ago. Our overall revenue performance was in line with our initial guidance and with the end market drivers of the business playing out, as we had always anticipated, but with better execution and gross margin. Our non-GAAP gross margin for the fourth quarter was approximately 60%, an increase of 219 basis points from the third quarter and up 864 basis points from the same period a year ago. This was higher than the midpoint of our earlier projected range of 58% to 59%, and is a correct estimate to the longer term earnings power our business can support. The sequential improvement in our gross margin is from improved mix, new products introduced recently, and cost management. Our overall operating expenses for the fourth quarter on a non-GAAP basis were $238 million, in line with our earlier projected range of $230 million to $240 million. As compared with the same period a year ago, we are able to keep operating expense essentially flat and substantially improved revenues, yet another demonstration of the product costs and expense controls, and improve products we have implemented over the last year. R&D expenses for the quarter were $187 million, essentially flat on a sequential basis and an increase of about 5% from the same period a year ago, in line with our original guidance of $182 million to $188 million. As compared to the year-ago period, the 5% increase in R&D expense was due to increased tape-outs, new product introduction expenses, and to read stated bonus accruals. SG&A expenses for the quarter were approximately $51 million, in line with our prior guidance of $48 million to $52 million, up about 17% sequentially and a decrease of about 11% year-on-year. SG&A expenses during Q4 was high on a sequential basis, as our Q3 SG&A results included some insurance reimbursements. If we normalize to the benefit realized in Q3, SG&A expenses during Q4 was essentially flat on a sequential basis. On a year-over-year basis, SG&A was down due to a combination of lower headcount, reduced legal expenses, and lower consulting expenses. This resulted in non-GAAP operating margin of approximately 32%, up 300 basis points from the 29% operating margin reported in the prior quarter and an improvement of over 26 points from the same period a year ago. Net interest expense and other income was a benefit of approximately $10 million, substantially higher than our prior expectation of $1.5 million benefit. The improvement was due to better than anticipated returns and a foreign entity retirement account and a gain on an equity investment. On a non-GAAP basis, we realized a tax expense of approximately $11 million, in line with our prior guidance of $9 million to $15 million. Our non-GAAP net income for the fiscal fourth quarter was approximately $266 million or $0.40 per diluted share, a sequential improvement of about $0.05 per share or about 14%. During the same period a year ago, we earned 32% or $0.05 per share. The shares used to compute diluted non-GAAP EPS during the fourth quarter were approximately 672 million, up from 664 million shares in the prior quarter and higher than the 629 million shares reported in the year-ago period. Changes in diluted share count are primarily due to shares issued in the period from exercises of options by employees, shares purchased through the ESPP program along with variations in average and ending trading prices in the reported period, which impacts the treasury method of computing through the share count. This being our fiscal year-end, I’d like to also summarize our results on a full-year basis. Fiscal 2010 was an eventful one for us and for the entire industry. We started the year with a sudden and significant decline in revenue resulted from the reactions in the broader economic climate. Marvell was prepared as the reality of the downturn became apparent. We have already begun the process to strategically review our business operations, and we have begun taking the necessary actions to restructure our business, while simultaneously improving the product – the portfolio of products. The results of these efforts was stellar, resulting in record profit levels and cash flows. We emerged out of this very strong and strategically positioned to substantially grow our revenues in the next few years. We ended the year with a very strong P&L, a solid balance sheet and superb cash flow margins. We are strategically positioned with new products and new customers getting to ready to ramp in the next year. I also want to thank our employees for making this a terrific year. Revenue for fiscal 2010 was $2.81 billion, approximately a 5% decrease over the $2.95 billion reported for fiscal 2009. The decrease was primarily due to the credit induced macroeconomic downturn, with most of the impact being felt in the first half of fiscal year. On a non-GAAP basis, full year gross margin for fiscal 2010 was about 56.7% versus approximately 52% reported in fiscal 2009, an improvement of 470 basis points year-over-year. Non-GAAP operating income increased to $660 million or approximately 24% of revenues, over 650 basis points better than the 17% operating margin reported in fiscal 2009. Non-GAAP net income of fiscal 2010 was $648 million or $0.99 per diluted share, an improvement of 35% as compared to the $482 million or $0.76 per share diluted share reported in fiscal 2009. Turning to cash flow metrics, our full year cash flow from operations for fiscal 2010 was approximately $812 million, as compared to the $681 million reported for fiscal 2009. Free cash flow for fiscal 2010 was $756 million, representing a 27% free cash flow margin, an improvement from the $602 million reported in fiscal 2009. We defined free cash flow as cash flow from operations, less capital expenditures and purchase of IT licenses. Let me now summarize our quarterly results on a GAAP basis. We generated GAAP net income of approximately $205 million or $0.31 per share in the fourth quarter, up from the $202 million or $0.31 per share in the prior quarter and higher than the $0.11 per share loss we reported in the same period a year ago. During Q3, our GAAP results included a $32 million tax benefit. Normalizing for this benefit, our sequential EPS was significantly better. Our year-over-year improvement in GAAP earnings were the result of better revenue, significantly improved gross margin, tight operating expenses control, lower equity compensation expense, and lower amortization of intangible charges. The difference between our GAAP and non-GAAP during the fourth quarter of fiscal 2010 was due to stock-based compensation expense of approximately $31 million or about $0.05 per diluted share. Amortization of intangibles represented approximately $24 million or about $0.04 per diluted share and facilities restructured charges of approximately $6.5 million or $0.01 per diluted share. On a full year basis, we generated GAAP net income of approximately $353 million or $0.54 per share, a significant impact from the $147 million or $0.23 per share in the year-ago period. The major contributions to the improved GAAP profitability were higher gross profit of nearly 5 points combined with tight expense control. Now I’d like to review our balance sheet as of the end of our quarter and our fiscal year. Cash, cash equivalents and short-term investments were $1.8 billion, up $333 million sequentially and up $845 million from the same period a year ago. Cash flow from operations for the fourth quarter was $281 million as compared to $204 million reported in the third quarter and up from the $109 million reported in the same period a year ago. Free cash flow from our fiscal fourth quarter was $253 million, representing a 30% free cash flow margin, a 29% sequential improvement from the $196 million in the third quarter of fiscal 2010, and over 170% improvement from the $93 million in free cash flow reported in the year-ago period. During the fourth fiscal quarter, our cash balance was positively impacted by $77 million, as employees exercised stock options during the quarter. This was up from the $14 million generated during the third fiscal quarter and up from the $12 million generated in the year-ago quarter. Accounts receivable was $357 million, down about $38 million sequentially, reflecting better collections and higher revenue levels, and up $135 million as compared to the same period a year ago. DSO was 41 days, flat sequentially and down 15 days from the same period a year-ago. Net inventory at the end of the fourth quarter was $242 million, up 1% from the $239 million reported in the third quarter. Net inventories declined $69 million or 22% on a year-on-year basis. Days of inventory were 64 days, up four days sequentially from the 60 days reported in the previous quarter and down 53 days from the year-ago period. Accounts payable were $277 million, down $40 million sequentially and up $138 million on a year-on-year basis. Before I turn to our current projects for the fiscal first quarter of 2011, I would like to provide a framework for the modeling purposes over the intermediate to long-term. As the results of the last several quarters clearly demonstrate, Marvell is a much more efficient organization than at any period in its history. The management team has looked closely to identify and address those areas of the company, which were in need of improvement. Over the last year, we have taken a fresh look at all aspects of our operations. This includes our manufacturing costs, our product development, and support expenses, and product portfolio. We have made and will continue to make the hard decisions, which we believe will benefit our shareholders, customers and employees. As Sehat previously mentioned, we believe over the next 12 months or so, we expect to be at an inflection point in our revenue growth, as programs with new and existing customers shifted to production. Our confidence in delivering long-term growth more in line with historical Marvell norms has never been as higher as customers continue to adopt Marvell solutions. Furthermore, Sehat and I are proud to see the focus on financial discipline is becoming fully ingrained throughout the organization. Consequently, combining what we believe are robust top line growth prospects is our demonstrated financial discipline. We believe we can deliver superior earnings to our shareholders. With these comments as a background, I’d like to offer the following targets, which we believe investors should measure our success against. On the top line, we believe we can deliver revenue growth in the range of 20% to 25% annually. Obviously, there will be puts and takes on a quarterly basis, but longer term we feel this is an appropriate range. As we push cost consciousness further upstream into our development process and combine this with new initiatives, which will enable more efficient operational decisions to be made. We believe gross margins can be maintained in the range of 58% to 60%. From an expense perspective, we will not shy away from investments in new product development and then invest in accelerated revenue inflection point we feel is in the horizon. However, we will continue to be vigilant and manage the potential expansion of operating expenses such that expenses lag top-line growth. We believe this should result in significant operating leverage, driving sustainable non-GAAP operating margins of about 30%, plus or minus a couple points. While we keep a close watch in new legislation, we believe our corporate tax structure can be maintained resulting in a non-GAAP tax rate of approximately 5% to 8%. Now I would like to turn to our expectations for the first fiscal quarter of 2011. We currently project first quarter revenues in the range of $825 million to $860 million, essentially flat plus or minus two points, a positive reflection given that typically we normally see seasonal decline of a few percentage points. As Sehat indicated, we currently anticipate revenue from our mobile and wireless adjustable end markets to grow modestly on a sequential basis while we anticipate a modest decline in our network business, primarily due to normal seasonal ordering patterns for client connectivity devices in the DC market. And lastly, we believe revenue from our storage addressable markets should be flat plus or minus a couple points in a sequential basis, consistent with the overall HDD market. We currently project non-GAAP gross margin in the range of 60% plus or minus 50 basis points, approximately flat versus the previous quarter. We currently anticipate non-GAAP operating expenses to be approximately $255 million, plus or minus $5 million. We anticipate R&D expenses to be approximately $203 million and SG&A expenses of approximately $52 million. As we indicated earlier, we believe we are close to an inflection point in our revenue growth within the next year. As such, we are comfortable increasing our investment to introduce new and adjacent products and the field engineering staff needed to support these product and customer deployment. At the midpoint of our range, this should translate into operating margin of approximately 30%, plus or minus a point. The combination of interest expense and other income together should net out to approximately $1 million benefit. Non-GAAP tax expense should be approximately $2 million, as we anticipate the reversal of tax reserves related to foreign tax jurisdictions. We currently believe the diluted share count to be approximately 680 million shares. Taken together, we project the non-GAAP EPS to be in the range of $0.30 to $0.40 per share. On the balance sheet, we currently expect to generate over $200 million of free cash flow during the quarter. We anticipate our cash balance to be about $2 billion, excluding the special items or M&A activities. We currently expect our GAAP EPS to be lower than our non-GAAP EPS by about $0.08 per share, plus or minus $0.01. About $0.03 of this difference is related to amortization of intangibles and $0.05 in stock-based compensation expenses. Now I’d like to turn the call over the operator to begin the Q&A portion of our call. Operator?
Operator: (Operator instructions) We’re now ready for the first questioner, and it is Glen Yeung from Citi. Please proceed.
Glen Yeung – Citi: Thanks. Great job on the quarter here. First question is, thinking about your top line growth, you're now actually back very close to your peak quarterly revenue run rate. So as you look forward, and I hear your point about investing in new products for accelerated growth, maybe you can shed some light on where you see that growth coming from, where you see the opportunity to take your revenues to that next level.
Sehat Sutardja: Okay, I’ll take this one. So the – there are several areas that we see growth. Obviously in the areas that we’re investing a lot is in the mobile and wireless, new programs in our existing customers, TD-SCDMA opportunities to surf the China Mobile’s OPhone in China, which is huge. The famous ARMADA family of designs of application processors for latest different markets from the e-reader types to media players types of devices, and our new combo devices in the WiFi space for embedded applications. So that’s in the wireless side. And in the networking, still we have – we just recently entered the PON, the AVANTA PON, our 48 ports – 48 ports 10 Gig Ethernet switch that we introduced sometimes last year. They will be going into production this year. And other types of (inaudible) switching families, but work for the gigs in the 10 Gig space storage. Again we have traditional storage. PCs, laptops – laptop prices going down. So that’s good for storage business. Our investment in SSD, solid state disk controllers aboard for the enterprise, very high end to all the way down to the entry-level SSD, that will be good for us. And not to mention we anticipate share gains in the HDD market. So I mean, a few others, but without going into all the individual items, in general that basically all the investment that we have done – we have made over the last several years, those are the ones that are going to contribute to the revenue growth opportunity in the next – this year and next year.
Glen Yeung – Citi: Thanks for that, Sehat. And just as a follow-up, your inventories quarter-on-quarter actually grew quite little. I wonder if you can address your comfort level with your – your comfort with your current level of inventories, but also as you respond, address that capacity constraint issue that we are seeing in the foundry business and whether or not you think that’s an issue going forward or not.
Sehat Sutardja: Sure. Clyde, you may want to take this one?
Clyde Hosein: Yes. The inventory – so yes, it grew $3 million. Days of inventory, Glen, was about 64 days. So quite – and then you ask about capacity. We have seen tightness in capacity, particularly at foundry. I think that’s consistent to what investors would see throughout. And quite frankly, that’s one of the areas we do have concerns as we go through the year, is the tightness of capacity, not just at foundry, but even at the disk drive guys, the investment they have made in technology to support drive growth has been limited. So it is a concern we’ve had. We’d like to see our inventory grow more, quite frankly, for quite a couple of quarters now, but demand has always kept up with our supply. So we’ve been able to constrain it. The short answer is, we are concerned here about foundry capacity, near and medium-term.
Glen Yeung – Citi: Thanks.
Jeff Palmer: Operator, our next question, please.
Operator: We have a question from the line of Adam Benjamin from Jefferies. Please proceed.
Adam Benjamin – Jefferies: Thanks, guys. Just as you look at that longer-term model, I’m just trying to get a sense of how longer-term are you guys thinking about this as a model. You’ve done extremely well on the gross margin side and you’re well above where the company has been historically. So I’m just curious to see how long term you guys think about this when you lay out that model, Clyde.
Clyde Hosein: Well, we are already there right now. For the most recent Q4, we were at 60% gross margin at the high end of our 58% to 60%, and 32% operating margin, which is at the high end of the rates we have indicated earlier. So we are there. The question is, people ask, can we sustain it? They have been asking this for nine months now, and we have sustained and improved it by several points for the nine months. So we’ve also said, Adam, that we do not run the company for quarterly day-to-day. We run the company to introduce new technologies, to keep our customers happy. So from time to time, you might see some fluctuations around that. But in a sustained basis, whether it’s one, two, three years, we expect to be among the most profitable semiconductor companies. We demonstrated that today. And essentially what we think we can sustain those operating margins over the long-term.
Sehat Sutardja: Adam, I want to add a little bit on – and as I’ve mentioned many times in the recent past, the – we are in the business to build advanced technology, highly integrated System-on-a-Chips where we integrate more function into the chips. So these are – these devices incur a lot of costs to us, a lot of R&D costs, but at the same time, it brings huge amount of saving value to our customers. So these are the reason why we believe that in the long run the gross margins are 58% to 60% are the right numbers to target and to achieve in our business or in any – or in any other companies that have been in our business should be able to achieve this kind of level as well.
Adam Benjamin – Jefferies: Got you. That is helpful. And then just to follow up, maybe two parts to it. On the OPhone platform when you ship either a base (inaudible) processor, what is the attach rate with your combo connectivity, would be helpful. And then secondly, as you look at your business, there was a period of lack of introduction of new products for a period there, and now you've guys have brought to market several new products with GPON and connectivity, most recently. I was wondering if you would look at your revenue lines today, how we should be thinking about maybe some new revenue lines emerging over the course of the end of this year and into next year, that we're currently not focused on. Thanks.
Clyde Hosein: Yes. So in general, you should look at – we introduced new products like – pick something like an EPON or GPON there. We call it XPON because we have the dual PON device. Those devices will be of interest, sample to customer, and then customer have to build prototypes and qualification in the lab and the field. And generally this thing takes like, say, let’s call it a year. I could be a year, plus, minus several quarter – a quarter or two. So that’s a timeframe of the devices with that complexity. For devices that’s even more complex, like a cell phone, like smartphones, the introduction to going to revenue could be in 18 months, plus minus several quarters. So those are at a range of time to – I mean, when the revenues will ramp up. For simple products, (inaudible) lot of time spent. So it will be six months. So things like – more like replacing our existing solution in the markets, so a customer already has the software, whether it’s for storage or cell phone, I mean, where they already have the software, the drivers. Those things will be faster. It could be six months, could be nine months. So – so it varies quite a bit. But that’s why we always said, you know, a lot of things that we’ve – the revenues that we’re generating, we’re expecting this year, things that already – design wins that we had last year. So there are very little impacts on the stuff there. We have to introduce this like today, like this month for revenues in the next several quarters. And then what was the other question?
Adam Benjamin – Jefferies: Tax rate of combo devices to the OPhone. I don’t think you’ve highlighted it.
Sehat Sutardja: Okay. So all the new designs that are on the OPhones that they are using our chips that we have it for any phones that will come with WiFi pretty much will have our WiFi combo device. WiFi combo means like including Bluetooth. So we provide – I think we provide a lot of support on not just on the software side. So it’s part of our delivery is the software package.
Adam Benjamin – Jefferies: Okay.
Jeff Palmer: Thanks, Adam, for your question. Operator, next please.
Operator: We have a question from the line of James Schneider, Goldman Sachs. Please proceed.
James Schneider – Goldman Sachs: Good afternoon, and thanks for taking my question. I was wondering – I know it’s very early at this point, but can you give us any kind of visibility into what your customers are telling you about Q2 seasonality, whether it would be above or below what you typically expect? And then can you remind us what normal seasonality in Q2 is for Marvell?
Sehat Sutardja: You want to take this first, and then I’ll add it later.
Clyde Hosein: You know, I think the bigger issue, normal seasonality for Marvell, I think – if there is anything normal, Jim, in this environment, I think you’ll all agree, who knows. So the kind of – normal seasonality, to answer your question, is probably flattish, maybe some growth. We aren’t forecasting anything beyond the current quarter, I want to be clear. As far as customers, I think the bigger issue that’s dominating demand right now is the tightness on supply, particularly a foundry. So we get longer visibility. I think the supply thing is probably the big issue that’s probably shaping customer’s mind and our minds today. So that’s probably as much as I can give you right now into that. You read the same things we read of what they’re talking about. A lot of folks think it’s normal seasonality. I don’t think we get hung up on what’s normal anymore.
Sehat Sutardja: It’s really, on my side, but I look at it – I'm less concerned about the seasonality for this year because – I mean, we had downturn last year and then this year, we’re just recovering. At the same time, if you look at the technology being introduced across the board, if you look at PCs, processors, they have to introduce in the laptop. They are very, very advanced. You have new introduction. I mean, you have the introductions of Windows 7, all the DDR3, low power memory coming up from the (inaudible) disk drives and going to 320 gigabytes (inaudible) at low cost. So all these computers can be – you can buy $400 laptops or $500 laptops, while previously a year earlier it cost you 30% higher or more, I mean, with much less performance. So I look at it, but the biggest issue that we have to face essentially the supply. The supply side may be one constraining the shipments of this product, especially toward in Q3, Q4 of this year.
James Schneider – Goldman Sachs: I understand. That’s very helpful. And then maybe as a follow-up, in terms of capital allocation, I think you have $1.8 billion of cash on the balance sheet at this point, how are you thinking about your relative priorities in terms of M&A versus dividends and buybacks? And what are investors telling you about that?
Sehat Sutardja: I’ll take this a little bit. Okay. I made some comments last quarter. So my comment stands on that. I look at – it's important as a company that we need to have a strong balance sheet. There are a lot of things that we have in our plan, long-term plan. When I say long-term, in the next several years, that we want to do, and that requires – those plans will require us to have large balance sheets in our books so that we work to – when the opportunity arises, we will be able quickly react to those opportunities. In terms of M&A, number one priority to us is always is to develop organic development in house. But every now and then, when we are given an opportunity to acquire a small R&D team or developing new technology that we did not focus on or we forgot to focus on, and then we will take that opportunity – I mean, we will take that. We will snag that opportunity obviously. So you want to take – you want to add more?
Clyde Hosein: Sehat, I agree with you. I just want to add, in terms of priority, we described earlier, I think Sehat did, organic growth has always proven to be the most, the fastest return, the best alternative we think what this company has done over the last few years and what Sehat and the team has driven. We think that opportunity is very good (inaudible) we think in the next 12 to 18 months, maybe a bit sooner, depending on customer deployments, we have an inflection point. So we’ve got to invest. We started this quarter investing organically to support those customers, bring out adjacent products into space and sell platform solutions to our customers. So the first priority for us would be organic. We are very confident about that, and you'll see that going forward. M&A, as Sehat indicated, we’re going to look at it opportunistically. If there is something that we think we can integrate into what we do today, we are not going to be shy about doing it. There is nothing imminent for people to do. But we want to have the balance sheet to do that. Having said that, as time goes on, you indicated in your question it’s still early. We are aware of investors’ questions about it and we'll respond, but the priorities are what we laid out, organic growth and then being opportunistic about it with a strong balance sheet. And keep in mind, this is still an economy that is not totally out of from a macro point of view. So, I think it’s always good to be careful.
James Schneider – Goldman Sachs: Perfect. Thanks very much.
Jeff Palmer: Okay. Thanks, Jim. Operator, next caller, please.
Operator: Question from the line of Craig Berger, FBR Capital Markets. Please proceed. Craig, your line is open.
Sehat Sutardja: Okay. I think we missed him.
Jeff Palmer: Yes. Let's go to the next caller, Operator.
Operator: And we have a question from the line of Harlan Sur. Please proceed.
Harlan Sur – Morgan Stanley: Thank you for taking my question. And congratulations to the team on the solid execution. I got the sense that enterprise class drives were pretty strong in the December quarter for your HDD customers and also pretty tracking – pretty strong here thus far in the March quarter. You've obviously got good exposure to Seagate and Western Digital. Just wondering, if enterprise is driving the above seasonal strength here in the April quarter or is it better 2.5-inch or 3.5-inch demand that's driving the better seasonal pattern, any color would be great.
Sehat Sutardja: Go ahead.
Clyde Hosein: I think we see broad strength. I don't think strength in the sense of flat compared to down –
Harlan Sur – Morgan Stanley: Right.
Clyde Hosein: Relative strength, we should say. I would agree with you, I think enterprise is doing well. But to be clear, other areas of our business are equally doing well in desktop and mobile. So I wouldn't differentiate within that.
Harlan Sur – Morgan Stanley: Okay. And then on the technology front, again sticking with HDDs, maybe. Sehat, you could give us an update on your next generation, low-density parity check re-channel technology, Maybe some progress with your existing customers. Has the team already developed an SOC with the LDPC technology and maybe when we should start to expect your customers to ramp these types of solutions?
Sehat Sutardja: Yes. So on the first, on our LDPCs, I think sometimes this year we have several customers. They will ramp up LDPC devices for the very, very high-end – very, very high capacity drives. So I didn't mention too much about the LDPC. We also will be introducing our – even our next generation LPC in the next – pretty soon. So, I mean, we continue to invest. Actually we have multiple generations of LDPC R&Ds in the lab in our engineering. So moving forward, okay, practically everything is LDPCs. But if you want to look at the production, the most cost sensitive, I mean, the solutions from – our solutions – our LDPC solution are the most efficient in the market. So we are very, very, I think we are very – we are very optimistic about our customer success here as well.
Harlan Sur – Morgan Stanley: Okay. Thank you. And just one last question for Clyde. So given what I assume are extending lead times, I'm just wondering if Marvell is going to book business for the July quarter.
Clyde Hosein: We book business whenever customers place them. So I think it's fair, given the tightness in supply you see business going out through that period of time, yes.
Harlan Sur – Morgan Stanley: Okay, great. Thank you very much.
Jeff Palmer: Thank you.
Operator: And we have a question from the line of John Pitzer, Credit Suisse. Please proceed.
John Pitzer – Credit Suisse: Yes. Good afternoon, guys. Thanks for the opportunity. Couple of questions on the long-term target model, Clyde. The 20% to 25% sort of top-line growth rate relatively easy this year just given the easy compares from last year. I'm kind of curious, is that a cyclical recovery growth rate or would you expect that longer-term? And then secondly, on the gross margin, you commented that new products helped gross margins in the January quarter. You’re already at the high end of 58% to 60% long-term model. I’m just kind of curious, how does mix play into the longer term to get you back down from where you are now? Thank you.
Clyde Hosein: So first of all, 20%, 25% growth, John, isn't easy for anybody. So let's not underestimate, but fair point on the easy compare. The target models we give out is really for a sustained business over a three-year period of time. So like 20%, 25% over that period of time. As far as gross margin, yes, we had a higher end. We also indicated on this call that mix would play, not all of our products are there. So, yes, mix would play out as time goes on, hence the reason for us to give 50% and 60%. But the other thing you need to keep into consideration is there is tightness in foundries are there and so we need to be mindful of that, what that is going to do in the near-term or medium-term, six to 12 months out for us. So I think, again, I don't want to be too accurate about it. I think they're very competitive margins. They're superior returns versus almost everybody in our peer group and we intend to sustain that plus or minus a couple of points. That is probably the best way to think about that.
John Pitzer – Credit Suisse: And then guys, on the near-term front, any qualitative guidance you can give us on how order rates have been trending post-Chinese New Year? And just given some of the concerns on supply, what’s your exposure, if any, to potential disruptions from the Taiwan earthquake yesterday in Taiwan?
Clyde Hosein: I haven't seen any difference in order patterns post-Chinese New Year, so nothing to comment on that. As to the earthquake, I think the assessment is still preliminary, but the indications are that the disruptions would be minimal, so we take it at that. Having said that, it doesn't – certainly it doesn't help to have an earthquake when you're already in a tight foundry situation. So, like I said, it’s one of our top concerns as we manage the near-term.
John Pitzer – Credit Suisse: Thanks, guys. Appreciate it.
Jeff Palmer: Thanks, John.
Operator: We have a question from the line of Uche Orji, UBS. Please proceed.
Uche Orji – UBS: Sure. Thank you very much. Sehat, let me just go back to the comments you made about 90% of the OPhone models using Marvell. Is that mostly your application processor or also your comp processor for this design wins? And also how many OEMs are we talking about?
Sehat Sutardja: Okay. So on the first generation OPhones, they are basically based on our application processors combined with the existing TD-SCDMA standalone modems that were available in the market at the time this product was built. Now, on the new designs, okay, that we're just – that we talk about, that we show at the mobile conference, for example, I don't know if you have seen it yourself in our booth.
Uche Orji – UBS: I did.
Sehat Sutardja: So those are single-chip device where we integrate our next generation application processors with 3D graphics, with our own TD-SCDMA modem into a single-chip device. The highly integrated solution is targeted for the much higher volume market obviously because the cost structure as well the form factor is significantly better, smaller, lighter, lower power. So those are in the next generations. So in terms of number of – how many you, again –
Jeff Palmer: There is nine OEMs today.
Sehat Sutardja: Nine OEMs.
Jeff Palmer: We're aligned with eight of them.
Sehat Sutardja: Okay. All right. So the – so we are at a very good start. We have been working with China Mobile for three years or so. So this is very exciting for us. As China Mobile continued to deploy, I mean, to invest in the TD base stations over the next year, I think as these things roll out, there will be demand for the TD Smartphones, even for TD entry level phones. It would be very good.
Uche Orji – UBS: I see. Right. Different question. Let me ask you about storage. First of all, so your revenue growth – your growth now in storage is more like going to trend short term in line with the market and you still talk about getting share. Obviously, the one big source of share gain for you will still be to seeking announcement from over a year ago. Can you give us an update as to where the possible share gain momentum will come from and timing-wise – and if you can – I know you don't like to talk about specific customers, but if you can give an update on where you are with the Seagate ramp that you announced, that would be helpful. Thank you.
Sehat Sutardja: Okay. So, on the enterprise side, obviously we continue to ramp our enterprise SOCs, our biggest customer in the enterprise side. And then on the share gain that we talk about over the last year, I mean, as it's well known that there are only two customers, two large desktop/mobile customers that were not using our solutions and (inaudible) referred to those two customers. And I'm very optimistic that at least one of the customers will ramp up sometime second half of this year. And then obviously, there will be more products as they ramp up one platform there and they have to ramp up more and more platforms over the next year. So there is – I think that gives you an idea of how these things are going to roll out. In terms of the area – in terms of the segment, the segment will be the desktops or mobile segments, about 2.5-inch. But in general, our solutions whether it's mobile or desktops, they are basically the same device or at least the same family.
Uche Orji – UBS: Okay. And then just lastly, you mentioned SSD when you talked about some of the new products. Can you, first of all, characterize where your product stands relative to the competition in terms of SSD controllers? And I know it may be still too early to talk about volume expectations, but can you talk about where the margin structure of your SSD products will compare to your current hard disk drives? So that's my last question. Thank you.
Sehat Sutardja: So we build only SSD controllers, so we initially focused on the high -end, high-performance, high-throughput SSD controllers. So you see that – look at the Intel SSD device, we built that controller and you look at the Micron, the highest performance, highest throughput SSD in the market for the (inaudible), came from Micron, that uses our SSD controller. So you get an idea like these controllers are designed for super high performance, super high reliability. So these devices go into the server, a SUN server, for example. No, it belongs to Oracle. And then over time, we also built lower – I mean, lower cost, more entry-level SSDs for their laptops as well for other embedded types of applications. So we look at SSDs as more of an additional business opportunity for us in the storage. There will be applications where customer needs super high performance like in the high end – super high end enterprise, where the SSD will make a lot of sense. And there will be applications like for hybrid laptops where small SSD combined with super-high capacity drives actually is the best solution. So we are covering all the market segments.
Clyde Hosein: Question on margins. It is still early right now in the market to tell about margins, but the long-term margins we provided as a company, we don't see that being –
Sehat Sutardja: In the long run, again, we look at it as similar, especially the one that has super-high end ones. These are very complex devices.
Jeff Palmer: Thanks, Uche. I think we're at the end of our time, everyone. In closing, I'd like to thank everyone for their time today and their continued interest in Marvell. As a reminder, we will be attending several investor conferences over the coming weeks. On March 9, we will be attending the Jefferies Fourth Annual Global Technology Conference in New York City. On March 10, we will be attending the Credit Suisse Communications and Networking Conference in Boston. And lastly, on March 16, we will be attending the Roth Capital 22nd Annual Growth Stock Conference in Laguna Niguel. We look forward to speaking with you at these upcoming conferences or in the coming months and thank you for your interest. Good bye.
Sehat Sutardja: Bye. Thank you.
Operator: Ladies and gentlemen, that concludes the presentation. You may now disconnect and have a great day.